Operator: Good morning. My name is Christina, and I will be your conference facilitator today. Welcome to Frontera Energy’s First Quarter 2022 Operating and Financial Results Conference Call. All lines are currently on mute to prevent any background noise. This call is scheduled for 60 minutes. I would like to remind you that this conference call is being recorded today and is also available through audio webcast on the company’s website. Following the speakers’ remarks, there will be time for questions. Analysts and investors are reminded that any additional questions can be directed to the company at ir@fronteraenergy.ca. This call contains forward-looking information within the meaning of applicable Canadian securities laws relating to activities, events or developments the company believes or expects will or may occur in the future. Forward-looking information reflects the current expectations, assumptions and beliefs of the company based on information currently available to it. Although, the company believes the assumptions are reasonable, forward-looking information is not a guarantee of future performance. Forward-looking information is subject to a number of risks and uncertainties that may cause the actual results of the company to differ materially from those discussed in the forward-looking information. The company’s MD&A for the quarter ended March 31, 2022, and the company’s annual information form dated March 2, 2022, and other documents it files from time-to-time with securities, regulatory authorities, describes the risks, uncertainties, material assumptions and other factors that could influence actual results. Any forward-looking information speaks only as of the date on which it is made and the company disclaims any intent or obligation to update any forward-looking information except as required by law. I would now like to turn the call over to Mr. Gabriel de Alba, Chairman of the Board of Frontera Energy. Mr. de Alba?
Gabriel de Alba: Thank you, Christina. And thank you everyone for joining today’s conference call to review Frontera’s first quarter 2022 operating and financial results. Joining me on today’s call are Orlando Cabrales, Frontera’s CEO; Alejandro Piñeros, Frontera’s CFO; and also available to answer questions at the end of the call, we have Victor Vega, VP of Field Development, Reservoir Management and Exploration. Frontera continue to deliver strong performance results in the first quarter of 2022, in line with full year production guidance of 40,000 barrels per day to 42,000 barrels per day and annual EBITDA guidance of $575 million to $625 million at $90 per barrel Brent. Frontera delivered EBITDA of $138 million in Q1. Importantly, due to the timing of cargo sales, which impacted volumes sold in the first quarter, Frontera accumulated a large inventory during the quarter, which would be sold in subsequent quarters. As per our 2022 guidance issued earlier this year, we continue to forecast annual EBITDA guidance of $575 million to $625 million at $90 per barrel Brent, and I would note that every additional $10 barrel increase in Brent price average for the year equals an estimate of approximately $100 million of additional EBITDA, as the company has uncapped exposure to higher oil prices. Frontera expects further operational momentum throughout the rest of the year, which will drive higher production and profitability in subsequent quarters. During the quarter, the company renewed its NCIB program for the purchase of up to 10% of the public float and is reviewing other opportunities to enhance shareholder returns. Also, importantly, during the quarter, Frontera was recognized for the second straight year by Ethisphere as one of the 2022 World’s Most Ethical Companies. The company was certified by Great Place to Work as the only oil and gas company with an outstanding work environment. And Frontera was also recognized as one of the Best Places to Work for Woman in Colombia among the 2021 GPTW ranking. I am very proud of Fonterra’s Board, management and employees for their efforts in these areas. I am pleased to acknowledge the national and international recognition the company has earned. Finally, on behalf of Frontera and CGX joint venture, I am pleased to invite all shareholders, stakeholders, investors and media to attend a virtual information presentation hosted by senior operational and technical team members from Frontera and CGX on May 9th at 11 a.m. Eastern Time. The joint venture will discuss the Guyana-Suriname basin, the offshore Corentyne block, integrated Kawa-1 exploration well results and insights ahead of the Tui-1 exploration well. The joint venture appreciates the high level of interest in our Guyana activities and we look forward to provide an update at our virtual presentation next week. I will now turn the call over to Orlando Cabrales, Frontera’s CEO; and our CFO, Alejandro Piñeros, who will share their views on the results. Orlando?
Orlando Cabrales: Thank you. Thank you, Gabriel, and good morning, everyone. Thank you for taking the time to join us this morning. Frontera reported strong financial results in the first quarter of 2022. We increased production by 6.5%, recorded net income of $102.2 million, increased our operating netbacks by 22% and increased our net sales realized price by 17%. We also delivered EBITDA of $132.8 million, up to 92% compared to the first quarter of 2021, but down quarter-over-quarter due to the timing of cargo sales in the first year, impacting volumes sold in Colombia and increase in inventory, which will be sold in subsequent quarters according to regular nomination and typical scheduling of cargos. Operationally, we executed $113.5 million in capital expenditures on the Kawa exploration well in Guyana on discoveries at the Jandaya-1 and Tui-1 exploration wells in Ecuador and we maintained a high level of execution of development drilling in our base Colombian operations. During the quarter, we began integrating the PetroSud assets into our operations, which we anticipate will contribute to achieving the company’s production guidance. Subsequent to the quarter, Frontera completed the acquisition of PCR’s 35% working interest in Colombia’s El Dificil block. Frontera now holds 100% working interest in El Dificil block, which when combined with our acquisition of PetroSud’s interest in Entrerrios and Rio Meta Blocks will generate approximately $12 million to $15 million of annual EBITDA. The company hedged 40% of its 2022 production at $70 per barrel floors with full upside exposure and also completed 100% of its foreign exchange hedges in connection with 40% of the peso denominated cost for 2022. Importantly, the company is reviewing opportunities for increased production in the second half of this year. I would now like to discuss some of our first Q operational activities and results. In the first quarter of 2022, the company drilled 14 development wells and one exploration well in Ecuador and completed 38 workovers and well service. At Quifa, current production is approximately 17,000 barrels per day of heavy crude oil, including both Quifa and Cajua. In first Q, the company drilled 12 developed wells at Quifa. At Guatiquia, current production is approximately 8,800 barrels per day of light and medium crude oil. In the first Q Frontera initiated production from the Coralillo-15 and Coralillo-13 development wells. Subsequent to the quarter, the Coralillo SE-01 well was completed in the Lower Sand and Barco formations and production test is underway. At CPE-6, current production is approximately 4,700 barrels per day of heavy crude oil. In the first Q, the company drilled the HAM-102D well, which is currently under evaluation. At VIM-1, Frontera 50% working interest as non-operator, current production is approximately 1,300 BOE per day. In the first quarter, the operator completed the construction of gas processing facilities, which are expected to be operational in the second quarter. Additionally, the operator anticipates spudding the La Belleza-2 development well in the second quarter of the year. Subsequent to the quarter, on April 27 this year, Frontera completed the previously announced acquisition of the 35% working interest in Colombia’s El Dificil block held by PCR Investments for a total aggregate cash consideration of approximately $13 million. The PCR transaction was subject to customary closing conditions and approval of the transaction by the Agencia Nacional de Hidrocarburos, which has now been received. Currently, the company has four drilling rigs and four workover rigs active at its operations in Colombia and one rig at the Perico block in Ecuador. Speaking of Ecuador, during the quarter, Frontera announced that it had made discoveries at the Jandaya-1 and Tui-1 exploration wells for the Perico block in Ecuador. The Jandaya-1 well encountered a total of 78 feet of net pay across three hydrocarbon bearing reservoirs. The Tui-1 exploration well encountered a total of 125 feet of net pay across seven hydrocarbon bearing reservoirs. Production from the Jandaya-1 and Tui-1 exploration wells is being delivered to a nearby access point on Ecuador’s main pipeline system for sale to export markets. Frontera and its partner are currently evaluating subsequent activities in the Perico block, including a potential development drilling plan for both the Jandaya and Tui fields. Production in Ecuador for the three months ended March 31st of this year was 279 barrels per day share before royalties of light and medium crude oil. Additional prospects on the Perico block have been identified, and are being matured for the future drilling. In the Espejo block where Frontera holds a 50% working non-operator interest, the JV is currently acquiring 60 square kilometers of 3D seismic and anticipates starting the first exploration well in the block called the Espejo Norte-1 in the second half of 2022. Frontera’s acreage position and initial positive result in Ecuador provides the company with flexibility, optionality and a potential future platform for growth. I would now like to turn the call over to Alejandro Piñeros, Frontera’s CFO, to discuss our fourth quarter and year end, sorry, our first Q results.
Alejandro Piñeros: Thank you, Orlando, and good morning to everyone in the call. As you heard, operating EBITDA was $132.8 million in the first quarter of 2022, compared with $148.3 million in the prior quarter due to the timing of cargos, which impacted volume sales in Colombia, resulting in an inventory build, while benefiting from higher Brent oil prices. The company reiterates its 2022 operating EBITDA guidance of $575 million to $625 million at $90 per barrel Brent. The company reported a total cash position of $323.5 million at March 31, 2022, compared to $320.8 million at December 31, 2021. The company’s restricted cash position was $66.1 million at March 31, 2022, compared to $63.3 million at December 31, 2021. The company anticipates releasing additional restricted cash in 2022, as the company continues to optimize its credit line. Cash provided by operating activities was $115 million in the first quarter of 2022, compared with $113.5 million in the prior quarter. At March 31, 2022, the company had a total inventory balance of 1,432,111 barrels, compared to 807,061 barrels at December 31, 2021. The increase in inventory balance in the first quarter is the result of one less cargo sold during the first quarter compared to previous quarter, which the company expects to sell in subsequent quarters. The company has various uncommitted bilateral credit lines. As of March 31, 2022, the company had increased its uncollateralized credit lines to $106.9 million of credit line, an increase of $17.3 million compared to December 31, 2021. On March 15, 2022, Frontera announced plans to renew its Normal Course Issuer Bid for the purchase of up to approximately 4.8 million common shares, representing approximately 10% of the company’s public float during the 12-month period commencing on March 17, 2022 and ending on March 16, 2023. As of May 2, 2022, Frontera has purchased for cancellation 1,246,400 common shares at a volume weighted average price of $14.39 per share Canadian excluding brokerage fees. Under the company’s previous NCIB that expired on March 16, 2022, Frontera has purchased for cancellation 4,243,600 common shares at a volume weighted average price of $7.38 per share Canadian excluding brokerage fees. Capital expenditures were $113.5 million in the first quarter of 2022, compared with $135.5 million in the prior quarter. Capital expenditures during the quarter included, exploration activity at the Kawa-1 well offshore Guyana, light and medium crude oil discoveries in Ecuador on the Jandaya and Tui-1 exploration wells, and maintaining a high level of execution of development drilling in the company-based Colombia operations. The company recorded net income of $102.2 million or $1.08 per share in the first quarter of 2022, compared with net income of $629.4 million or $6.6 per share in the prior quarter. The decrease in net income quarter-over-quarter was mainly due to an impairment reversal of $586.7 million that occurred in the fourth quarter of 2021. The company’s operating netbacks was $58.44 per BOE, up 22% compared with the prior quarter, primarily due to higher net sales realized prices partially offset by higher production costs. The company’s net sales realized price was $81.66 per BOE in the first quarter of 2022, up 17% compared to the prior quarter. The increase was mainly the result of higher Brent benchmark prices, lower differentials compared with the previous quarter, lower loss on risk management contracts and reduction in dilution costs due to the replacement of the dilution service by volumes purchased, partially offset by higher cash royalties resulting from oil price increases. Production costs averaged $13.48 per BOE in the first quarter of 2022, compared with $12.71 per BOE in the prior quarter. The increase in production cost was mainly due to increased energy costs, which added approximately $1.5 per barrel, additional well services and maintenance costs. Transportation costs averaged $9.74 per BOE, compared with $9.02 per BOE in the prior quarter. The increase in transportation costs was mainly due to one-time prepaid services recorded as lower transportation costs during the fourth quarter of 2021, following the implementation of reconciliation agreements entered into with Oleoducto Bicentenario de Columbia and Cenit Transporte y Logistica de Hidrocaburos to resolve certain transportation disputes. The company recorded a realized loss on risk management contracts of $2.7 million in the first quarter of 2022, compared with the unrealized loss of $6.7 million in the prior quarter. The realized loss on risk management contract was primarily due to cash paid for the purchase of put options during the quarter. In light of higher oil prices subsequent to March 31, 2022, the company entered into new put hedges totaling 1,410,000 barrels to protect the company’s 2022 capital program at $70 per barrel at strike price with full upside exposure. The company’s 2022 hedges do not cap upside price potential. The company also completed a 100% of foreign exchange hedges for 2022 to protect downside and allow for upside exposure. I would like now to turn the call back over to our CEO, Orlando Cabrales.
Orlando Cabrales: Thank you, Alejandro. And I would like to conclude today’s call by highlighting Frontera’s key advantages and value creation opportunities. First, we have a strong balance sheet and a track record of capital discipline. We have recently refinanced our bonds, secured additional lines of credit and unrestricted cash and at $90 per barrel Brent we anticipate generating between $575 million and $625 million in operating EBITDA and significant free cash flow this year. Second, we have a diversified portfolio of assets. We have stable base Colombian assets with the diversity, flexibility and optionality, with additional options in heavy crude at CPE-6 and light and medium crude oil at Coralillo and liquids rich gas opportunities at VIM-1. And we have had early production success in Ecuador at the Jandaya-1 and Tui-1 discoveries. Third, we are returning capital to shareholders. In 2021, we repurchased approximately 3.9 million common shares for $21.5 million under our previous NCIB. And in the first quarter, we launched a new NCIB for the repurchase of up to 10% of the public float. Since 2018, we have returned $207 million to shareholders through dividends and buybacks. Fourth, we have exciting low risk exploration opportunities with recent discoveries in Ecuador, near-field exploration opportunities in the Lower Magdalena Basin in Colombia and a potentially transformational exploration opportunity with world class potential on scale in offshore Guyana. Finally, we are an experienced operator with a proven track record in several basins, with several operated and non-operated partnerships with recognized players in the region. We also have an infrastructure advantage through our strategic ownership position in the ODL pipeline and Portuaria liquids and dry terminal. And our independent marketing arm ensures access to infrastructure, superior sales prices and flexible market access. With that, I would like to conclude by saying, thank you to Gabriel and Alejandro for the comments and thank you everyone for attending our call. I will now turn the call back to our operator, Christina, who will open the call up for questions.
Operator:  Your first question comes from the line of Anne Milne with Bank of America. Your line is open.
Anne Milne: Thank you very much, and good morning, and congratulations on the good results. I have two questions this morning to start with. First just has to do with the inventory buildup that you had during the first quarter. You seemed to indicate that it was one shipment or one cargo. The number seems quite large given where oil prices are. Could you maybe talk a little bit more about how this occurs and if you can anticipate these shipments, I am not sure just so you can capture higher prices when prices are higher give us and what you were -- if this has already been sold for Q2 and maybe how many cargoes you have per quarter? The second question I have is on capital expenditures. I know your full year guidance is, I think, it’s $225 million to $255 million, but you already spent $113 million in the first quarter. Are you likely to update this plan or will CapEx drop substantially in the coming quarters? Thank you.
Alejandro Piñeros: Thank you very much, Anne, for your questions. On the first question on inventory build in Q1, I think the one thing that is unique and we think it’s a strategic asset for Frontera is that we carry our own sales of cargoes. It’s a little bit different from other players who sell at the wellhead. So we -- by selling at the port or doing it directly our own selling of cargoes internationally, we believe -- we strongly believe that we know that we capture higher realized price that offset additional transportation costs by far. So by embarking in that process, we carry inventories throughout the system, not only fields, but also pipelines and the port. And to give you an example, in the first half of 2022, we have sold 11 cargoes, five of them in the first quarter and six of them in the second quarter. So the timing of the cargos varies from quarter to quarter. And when we have more cargoes, we recognize higher EBITDA and that’s the situation that we had between the previous quarter and this quarter. And just to give you more color, we sold one cargo perhaps of the inventory that we did not sell in that first quarter. We sold it early in April. So it’s part of our operational programming and scheduling and regular nomination of cargoes.
Anne Milne: Okay.
Alejandro Piñeros: That’s answer was for first question.
Anne Milne: Yeah.
Alejandro Piñeros: On the second question on the capital expenditures, the number that you have $225 million to $255 million is only for Colombia, while the $113 million includes Guyana. So, at this point, we are not thinking of updating our capital expenditures. We are in line with the guidance that we gave to the market, and as you know, you might expect $113 million in the first quarter. It’s heavily impacted by the capital expenditures that we incurred in the exploration well Kawa-1 in Guyana.
Anne Milne: Okay. Great. Thanks so much.
Alejandro Piñeros: Thank you.
Operator: Your next question comes from the line of Oriana Covault with Balanz.
Oriana Covault: Hi. Good morning. This is Oriana Covault with Balanz. Thanks for taking my questions. I had a first one just following up and to ratify regarding the inventories. This one cargo was already sold at April prices or should we expect that additional inventory to be contracted at upcoming spot prices?
Orlando Cabrales: It was sold at April prices in the .
Oriana Covault: Got it. Thanks for clarifying. Just another one that I had, you mentioned inflationary pressures in your energy costs. So should we -- and we see that lifting cost per barrel seems to be above your full year guidance, so how should we think of energy cost and alternatives that you might have to -- and lifting cost within guidance for Frontera?
Orlando Cabrales: Yeah. Thank you, Oriana, for the question. Yes. As we said, I mean, energy cost here represented about $1.5 per barrel for the first quarter. But we are not, I mean, of course, we are not changing the guidance and we are already seeing a decrease in the energy price in Colombia as of April. So, that we are starting to see already a reduction in energy prices in Colombia.
Oriana Covault: Got it. Thanks. And maybe just one last one on my side, are there any updates you can share with regards to the Demerara commitments and the conversations that you had with the regulator?
Orlando Cabrales: We don’t have at this point in time anything else to report apart from what we disclosed in the last quarter. Those conversations are still ongoing.
Oriana Covault: Got it. Thanks. That was all from my side. Thanks again and congratulations for the results.
Orlando Cabrales: Thank you very much. Thank you for your question, Oriana.
Operator: Your next question comes from the line of Roman Rossi with Canaccord Genuity.
Roman Rossi: Good morning and congratulations on the good results. Thank you very much for taking my question. So the first question has to do with the mix of gas. It seems that it has increased slightly to around 6% as a result of PetroSud’s integration. So how should we think the mix going forward?
Alejandro Piñeros: Thank you for your question, Roman. I think we -- as we have mentioned in other opportunities, gas is an important part of our portfolio. The acquisition of PetroSud and in this quarter we also completed the purchase of a 35% working interest of PCR in El Dificil is helping us. Gas is an important part of the portfolio in terms of ESG and it’s very stable in terms of prices. In the short-term, we don’t expect a significant change in the participation in our portfolio or in the mix, but it’s very important to note that we have a significant increase in the Lower Magdalena Valley, which is area. We have positive results in the past from VIM-1 in La Belleza and we have also additional acreage that we have acquired with the VIM-22 block, as well as the VIM-46 block and also with the La Creciente block that we have held for many years. So in the short-term, we don’t expect a significant change, but we expect that through additional exploration activities and development activities in the Lower Magdalena Valley. We could potentially continue to increase our participation in gas.
Orlando Cabrales: Nothing to add.
Roman Rossi: Okay.
Orlando Cabrales: Thank you for the question, Roman.
Roman Rossi: Thank you. And I have an additional one in regards to restricted cash. You mentioned in the release that you are anticipating releasing additional restricted cash during the year. So can you share any details on the amount that you expect to release during the course of the year?
Alejandro Piñeros: Absolutely. Roman, I think, basically, we have done significant progress in this process. If you recall, we ended 2020 with $167 million of cash. We ended 2021 with around $66 million of restricted cash. So we did a significant progress during 2021 to increase our credit lines, which right now amount to close to $106 million. So right now, the composition of restricted cash is mainly due to two things. One is the debt service reserves account that is tied to the Puerto Bahía debt, that’s around $30 million. And then the remaining portion is materially related to an abandonment fund in Colombia. As we continue to increase our credit lines, we expect to continue to release the part that is associated with abandonment fund and we have made progress in adding additional credit lines that during the second quarter we expect that additional cash would be released in connection with abandonment funds. So the specific amount we cannot say at this point, but this is a continuous effort. That’s something that Frontera focuses very much, which is releasing restricted cash.
Roman Rossi: Okay. Thank you very much and congratulations again on the good results.
Orlando Cabrales: Thank you, Roman.
Operator:  We will take our next question from Joe Dinato , Private Investor.
Unidentified Analyst: Good afternoon. Thank you. I just had a question for Mr. de Alba regarding next week’s virtual CGX meeting and I just wanted to know if you will be present at that presentation?
Gabriel de Alba: I will be present in that presentation. Yes, I will be present in that presentation. Thank you.
Unidentified Analyst: Okay. Thank you.
Operator: Your next question will come from the line of Juan Cruz with Morgan Stanley.
Juan Cruz: Hey. Hi, guys. Thanks for the call. Going back to the credit lines, can you tell us, again, what tenures are we talking about. Are these revolving lines, what kind of terms? Any interest what have you been charged and what are some of the characteristics of these lines and how much of those are drawn down at the moment, if any, or you just haven’t fully available? Thank you.
Alejandro Piñeros: Thank you for the questions, Juan. I think of the $106 million that we have in credit lines for letters of credit. We have drawn close to $86 million. So we have the remaining portion to draw and we expect to draw part of that in the second quarter, as I mentioned. The nature of this credit line is mostly bilateral commitments, bilateral credit line that we hold with multiple banks. We have credit lines from BTG Pactual, Bank of Colombia, Citi, BBUVA, and we are working with other banks to continue to increase credit lines. But most of them are bilateral. These are letters of credit that we need to post for the ANH mainly in connection with either exploration activities or abandonment activity. So that’s the nature of these.
Juan Cruz: Okay.
Alejandro Piñeros: In the past, we had other letters of credit that got collateralized and we have been releasing restricted cash in connection with that. In terms of interest rates, they are relatively low between 2% and 3% in the neighborhood as this is kind of a contingent liability.
Juan Cruz: Okay. So can you repeat how much is drawn at the moment, is that $86 million, is it?
Alejandro Piñeros: About $86 million, yeah.
Juan Cruz: Okay. And you expect them to be fully drawn?
Alejandro Piñeros: We expect to be fully drawn and we expect to continue increasing credit line.
Juan Cruz: And are these lies supposed to be zeroed at any point during the year or are this long term? Can you keep the balances drawn for...
Alejandro Piñeros: No. I mean, this -- as a letter of credit, this is a contingent liability, so it doesn’t create this cash disbursement per se. So…
Juan Cruz: All right.
Alejandro Piñeros: … basically this is something that we need to post for ANH.
Juan Cruz: Okay.
Alejandro Piñeros: This is part of the continuation of business as we pick up new acreage and we develop more wells, we incur in additional abandonment cost and incur in additional exploration activities and as well -- as we execute exploration wells, we reduce the exploration commitment. So it’s a working inventory, if you will, that gets replenished. So we don’t expect to go to zero in the near-term.
Juan Cruz: Got you. And these are unsecured, not against reserves or anything like that?
Alejandro Piñeros: Unsecured non-recourse to research or anything. In the past, we had cash collaterals, but the cash collaterals is right now zero.
Juan Cruz: Yeah. Yeah. Okay. Excellent. Thank you.
Alejandro Piñeros: Thank you.
Operator: We will take our next question from Anne Milne with Bank of America.
Anne Milne: Yes. I have a follow-up question. Sorry, I have to ask this, it’s May, and I think at the end of this month, we have the first round of votes. The differential between the two main factions seems to have narrowed quite a bit. I was just wondering if you have any updated views on the outcome or if you are protecting your income statement balance sheet or taking any actions in anticipation of this election? Thanks.
Orlando Cabrales: Well, thank you for your question. I mean I think it’s too soon to say what the election results might mean for Colombia or the Colombian oil and gas industry. But we do believe -- we strongly believe that the oil and gas industry remains a very important integral part of the Colombian economy and we expect that that will continue in the future. The participation of the oil and gas industry in the Colombia economy is very, very significant. So we also believe that we have, I mean, an asset base, which is diverse and includes interest in Ecuador, not only in Colombia, but also in Colombia and Ecuador. Thank you for the question.
Operator:  And we will go to our next question from Josef Schachter with Schachter Energy Research.
Josef Schachter: Good morning, everyone, and congratulations on the nice quarter. And this is my first time on one of your calls, so I appreciate the call and the details that you go into. I have just really one question. In North America, we are seeing a tightening up of rigs, the top tier rigs fracking capability within the windows the companies want. Are you facing any long lead time issues, are you having any supply chain issues, do you need to order more pipe to make sure you have it when you need it? Can you maybe just give a little color to the logistics of operating in the countries you do?
Orlando Cabrales: Thank you. Thank you, Josef, for the question. I can tell you, as I mentioned in my remarks, we have five active drilling rigs in our operations, four in Colombia, one in Ecuador. We also have four workover rigs in the operations. We have secured, I can tell you that, we have secured the number of rigs we need to deliver our plan for the year. So that’s what I can tell you now. We are comfortable from that perspective.
Josef Schachter: And are there any issues with drill pipe or any of the other services you need, are the -- are pricing going up, is availability within timelines changed at all?
Orlando Cabrales: No. The answer is no. We anticipate all the contracting of the different services, securing pipelines and the different services associated with our drilling program. So we were able to anticipate our sales and we are, I mean, we are secured to deliver the program this year.
Josef Schachter: Perfect. Thanks very much.
Orlando Cabrales: Thank you.
Operator:  There are no further questions at this time. Should you have any further questions, please email ir@fronteraenergy.ca. Concludes today’s call. Thank you all for participating.